Operator: Welcome to The Brink's Company's Third Quarter 2019 Earnings Call. Brink's issued a press release on third quarter results this morning. The company also filed an 8-K that includes the release and the slides that will be used in today's call. For those of you listening by phone, the release and slides are available on the company's website at brinks.com. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Now, for the company's Safe Harbor statement, this call and the Q&A session will contain forward-looking statements. Actual results could differ materially from the projected or estimated results. Information regarding factors that could cause such differences is available in today's press release and in the company's most recent SEC filings. Information presented and discussed on this call is representative as of today only. Brink's assumes no obligation to update any forward-looking statements. The call is copyrighted and may not be used without written permission from Brink's. It is now my pleasure to introduce your host Ed Cunningham, Vice President of Investor Relations and Corporate Communications. Mr. Cunningham, you may begin.
Ed Cunningham: Thanks, Drew and good morning everyone. Joining me today are CEO, Doug Pertz; and CFO, Ron Domanico. This morning, we reported third quarter results on both the GAAP and non-GAAP basis. The non-GAAP results exclude a number of items, including our Venezuela operations, the impact of Argentina's highly inflationary accounting, reorganization and restructuring costs, items related to acquisitions and dispositions, and costs related to internal loss and cost related to certain accounting compliance matters. We are also providing an analysis of our results on a constant currency basis, which eliminates changes in foreign currency exchange rates from the prior year. We believe the non-GAAP results make it easier for investors to assess operating performance between periods. Accordingly, our comments today, including those referring to our guidance, will focus primarily on non-GAAP results. Reconciliations of non-GAAP to GAAP results are provided in the press release, in the appendix to the slides we're using today, and in this morning's 8-K filing, all of which can be found on our website. Finally, page 3 of the press release provides the details behind our 2019 guidance, including revenue, operating profit, non-controlling interest, income taxes and adjusted EBITDA. I will now turn the call over to Doug Pertz.
Douglas Pertz: Thanks, Ed and good morning, everyone. Today, we reported solid growth in revenue, operating profit, adjusted EBITDA and EPS despite currency headwinds that were much stronger than expected. FX translation reduced operating profit by $17 million more than $6 million higher than we anticipated in our prior guidance. Thanks to stronger organic and acquisition related growth in North and South America segments operating profit or operating profit before corporate expenses increased 18% and was up 28% organic basis and 33% on a constant currency basis. Total operating profit which included higher quarterly corporate expenses was up 7% on a reported basis and 25% in constant currency. These higher third quarter corporate expenses included $5 million of expenses related to share based comp and higher insurance premiums together reducing profit growth by about 5%. These costs in addition to our plan spending of about $5 million Strategy 2.0 development and approximately $2 million of IT upgrades also in corporate expense. Corporate expenses can vary from quarter-to-quarter compared to last year and sequential and as demonstrated by this quarter. However, our full year corporate expenses are projected to be in-line with our forecast of supporting our guidance of earnings growth in the mid teens that we will talk about today. On the strategic front we continued or continuing to execute on our Strategy 1.0 organic growth initiatives taking in them wider and deeper throughout our global footprint. These initiatives have already driven substantial profit growth and with some new improvement initiatives will be critical drivers to the expanded margins we’re targeting over our next year three-year plan period. Reporting our Strategy 1.5 in the quarter we completed the acquisition of TDS, a small cash management business in Columbia. Our largest acquisition to-date Dunbar is making significant contributions to our U.S. results. The integration of this acquisition is progressing well and we expect to exceed our targeted cost synergies of $45 million by the end of 2020. Our new three-year plan will include a third Tier Strategy 2.0 which is aimed at expanding our presence in the global cash ecosystem. We developed 2.0 this year for initial rollout in early 2020. Finally, we’ve adjusted our full year 2019 guidance to reflect higher than expected impact of FX into third and fourth quarter of this year. The full year negative translational effects impact is now expected to be $80 million, an increase of $20 million over prior guidance. On an operational basis our guidance has not changed. Turning to the next slide, reported revenue for the quarter was up 8% and operating profit was 7%. As stated in the last slide translational effects rates reduced reported earnings by $17 million of which $6 million was greater than what we had originally assumed in our guidance. Previous guidance effects rates, operating profit would have been 14% over the prior year even with the higher corporate expenses we mentioned earlier. We also achieved solid growth in adjusted EBITDA and earnings per share both in constant currency and on reported basis. Ronald will provide more details on these and other financial metrics in a few minutes. Turning to slide 5, led by Mexico and the U.S., our North American operations achieved double digit growth in revenue and operating profits both on a reported and on a constant currency basis. U.S. reported revenue profit growth of 22% and 17% respectively due primarily to the Dunbar acquisition. It’s important to note that U.S. non-GAAP results include approximately $5 million related to the settlement of the class and action lawsuit and integration expenses that reduced its margin rate to 6.4% in the quarter excluding these items the U.S. margin rate was approximately 8%. Clearly the U.S. quarterly results were not as planned as I would have liked them to have been. However, we're confident that even with these added cost, our U.S. business will exit the fourth quarter and is targeted 10% margin rate and achieve a full-year margin rate of at least 8% and it's important to remember that we started our three-year plan in 2017 when we started our U.S. margin was less than 1%. As I just mentioned, we continue to expect the integration of the Dunbar into our U.S. operations to deliver synergies in excess of $45 million by the end of next year. We recently completed the rebranding of all Dunbar operations closed or consolidated 21 branches to-date and are in the process of migrating to a new common CIT operating system for both businesses. And as we've stated, we expect continued strong profit growth in the U.S. next year and we're targeting 13% margin in 2021. Mexico continued to deliver strong revenue and profit growth. In fact, I want to again congratulate the Mexico team for exceeding their three-year margin target. That's three years through 2018 which was 15% in just two years through last year and they're continuing their path to improve margins this year and will into the future. In South America, reported revenue was up 6% and margins grew 28% despite FX translation that reduced revenue by $39 million and profit by $15 million. Organic profit rose 54% on 18% organic revenue growth. In constant currency, revenue was up 24% and profit rose 60+ percent. Argentina and Brazil were the primary drivers of the improved results. Brazil's results included positive contribution of the successful integration of Rota bond acquisition. These results demonstrate that our underlining operations continue to perform very well despite our strong currency headwinds. Our inflation based price increases in Argentina combined with the recent volume growth are beginning to offset the pesos dramatic devaluations since mid 2018 including August of this year. For 2019, we’re now assuming an average of 50 pesos versus the U.S. dollars with an average for the fourth quarter of 67 pesos to the U.S. dollar. We will be keeping an eye on next week's elections in Argentina which could cause further volatility in the pesos value. Before turning over to Ron, I should mention that revenue in the rest of the world segment was relatively flat with a reported operating profit up 5% and 6% up on an organic basis. France is by far the largest country in this segment and it is a solid profit growth in the quarter. Thanks to improved efficiencies and positive impact of [TEMUS] integration. We look forward to continuing this improvement for now, this year, and excuse me and into the next year. And now, for review of financials by Ron.
Ronald Domanico: Thanks Doug and good day everyone. I understand we may be having a little technical issue with the slides. We're trying to get that addressed right away. The slides are posted to the website, but I will go on with the script and we will get that technical issue resolved as soon as possible. Turning to slide 7, constant currency revenue growth was 14% split equally between organic results and acquisitions. Revenue was reduced by $49 million or 6% from negative ForEx. Reported revenue was $925 million up 8% versus the third quarter last year. Third quarter constant currency operating profit grew 25%. Organic results included $31 million increase in segment operating profit that was partly offset by $12 million in higher corporate charges. The corporate increase included $7 million in Strategy 2.0 and IT investment, $3 million in higher non-cash share based compensation and $2 million of increased insurance costs. Acquisitions added $5 million in operating profit. The majority coming from Rota bond that closed in January this year and Dunbar that closed last August. Negative ForEx translation reduced operating profits by 18% or $17 million which Doug as said was $6 million worse than prior guidance. Reported operating profit was $102 million and the operating margin was 11.1%. Nine-month amounts are included at the bottom of the slide. The year-to-date revenue percent changes are similar to the third quarter. Year-to-date operating profit was up 38% in constant currency and up 14% after ForEx versus prior guidance, the $6 million in incremental negative ForEx translation reduced year-to-date operating profit growth by 2%. Moving to slide 8, this slide bridges third quarter operating profit to income from continuing operations and then to adjusted EBITDA. The variance from the prior year is at the bottom of the slide. Third quarter 2019 operating profit of $102 million was reduced by $22 million of net interest which was up $6 million versus the same period last year attributed to higher net debt associated with the acquisitions. Tax expense of $25 million was $2 million favorable versus prior year as higher income was offset by a 270 bip reduction in the non-GAAP effective tax rate. The non-GAAP ETR was 34.2% in 2018 and for the first half of 2019 we estimated the ETR at 33%. Based on improved expectations to utilize tax credits and other attributes, in the third quarter we reduced the expected 2019 ETR to 31.5%. Last year's buyout of our minority partner in Colombia cut non-controlling interest in half. Third quarter 2019 income from continuing operations of $54 million divided by 55.1 million weighted average diluted shares outstanding generated $1.05 in earnings per share, an 11% increase from last year. Depreciation and amortization added $36 million relatively flat with last year. [C&A] is growing slower than we expected primarily due to the timing of capital investments. Interest and taxes added $47 million and non-cash share based compensation added $10 million. In total 2019 third quarter adjusted EBITDA was $145 million. Moving to slide 9, this slide illustrates the expected impact of translation ForEx for our full-year guidance to our new guidance. The impact of the devaluation of the Argentine peso is shown in the bottom of each bar. The devaluation impact of all other currencies is shown in the top of each bar. Our prior 2019 guidance anticipated that ForEx would reduce full-year operating profit by $60 million. Evaluation through the third quarter 2019 was already $58 million driven not only by the Argentine peso but also the Brazilian Real and the Euro which each hit a two-year low in the third quarter. We expect $22 million in additional negative ForEx impact in the fourth quarter 2019 bringing the full-year impact operating profit to approximately $80 million. Our guidance is being reduced by the $20 million expected change in devaluation. There is no change in our operating guidance and constant currency. As a reminder, ForEx for Brink's is translational, not transactional. The vast majority of our revenue in expenses are in local currency. Concerning Argentina, we successfully operated there for more than 20 years. Through our continual devaluation including many significant shocks, we've historically been able to offset the translation impact via inflation based price increases. Through nine months in 2019, we've realized a 37% price increase which has more than offset wage increases. Moving to Slide 10. We bridge 2018 actual results to our prior guidance and then to our current guidance. 2018 adjusted EBITDA was $512 million. Operating profit was $347 million with a 10.1% margin and EPS was $3.46. We continue to expect organic operating profit to grow a $113 million up 33% and acquisitions to contribute an additional $35 million to drive total constant currency operating profit growth of 43%. We're investing at least $20 million in strategy 2.0 initiatives in IT platforms and security. Negative ForEx was estimated to be $60 million and we guided 2019 full-year adjusted EBITDA to a range of $590 million to $610 million and operating profit to $405 million to $425 million. As we just reviewed negative ForEx is expected to be about $20 million of worth than originally forecasted and we have reduced our full-year guidance accordingly. That is the only change in our guidance and we expect our results on a constant currency basis to meet or exceed our original expectations. From an operational perspective, we're focused on those items within our control. Excluding ForEx and the strategy 2.0 in IT investment, you can see that the constant currency operating profit would increase about 43%. Including the plan investment strategy 2.0 initiatives and IT platforms and security, we're up 37%. Turning to Slide 11. Forecasted 2019 full-year free cash flow of $200 million is $20 million lower than we projected last quarter. The reduction is due entirely to the ForEx impact described previously. Adjusted EBITDA at the midpoint of the revised guidance is $570 million. Working capital and cash restructuring is estimated at approximately $70 million which includes new acquisitions and accelerating restructurings at existing and acquired businesses. Cash taxes are projected around $40 million, favorable due to the timing of refunds. Expected cash interest of $80 million remains the same while the $180 million projection for cash capital expenditures was reduced to the timing and the capacity for additional lease financing. It's important to note that while operating profit in earnings are historically skewed to the second half. Cash flow was even more so. Free cash flow in the third quarter 2019 was $90 million. Slide 12 illustrates our net debt in financial leverage both historically and assuming synergies from completed acquisitions through 2020. Our net debt at the end of 2019 is projected to be approximately $1.35 billion; that's up about a $150 million over year-end 2018 as investment and acquisitions is reduced by cash flow after dividends. At the end of 2019, our pro forma leverage based on fully synergized adjusted EBITDA should be approximately 2.2 turns. Since 2017, we've completed approximately $1.1 billion in acquisitions which have been accretive to earnings. The acquisition pipeline today is more robust than when we started both in the potential number of transactions and in total enterprise value. The grey bars on each half of this slide illustrate the impact of another $1 billion in potential acquisitions and an average post integration multiple of 6.5. The grey bar on the left shows that the potential incremental investment could be funded entirely by debt. The grey bar on the right illustrates that pro forma adjusted EBITDA including 12 months of estimated synergy should increase by approximately $155 million and leverage would be about 3.0 turns. We expect that cash flow from our existing business combined with the additional acquisitions could reduce leverage back to two turns with three years. We continue to get questions about how the company could perform across economic cycles. Our revenue was highly recurring with most business under multi-year contracts. Many contracts include fuel surcharges and or CPI escalators, which protect margins. Cash grows through all cycles, but especially when credit tightens and should unemployment increase, we would expect workforce benefits through greater retention and moderated wage inflation, but ultimately, the strength of our balance sheet should facilitate success throughout economic cycles. With that, I'll now hand it back over to Doug.
Douglas Pertz: Thanks, Ron. Turning to Slide 13. It summarizes our first strategic plan which we rolled out at our Investor Day back in early 2017. Strategy 1.0 is focused on executing internal improvement initiatives to drive organic growth and close the margin gap with our competitors. But the end of this year, these initiatives are expected to help us achieve close to $300 million of operating profit. On top of this, our strategy 1.5 is expect to add another $100 million in profits from the 13 acquisitions we've already completed so far before total consideration of about $1.1 billion. Together, strategy 1.0 and 1.5 are expect to deal close to $400 million of operating profit and $570 million of adjusted EBITDA representing in operating profit compound annual growth rate of 22% and an EBITDA compound annual growth of 19% over the three-year period ending 2019. And both strategies will be key components of our next three-year accretive strategy beginning this next year. Our next strategic plan will span the number of strategy 1.0 organic growth and margin improvement initiatives drive these initiatives deeper into our operations and leverage them into more of our global operations. We call this next stage of strategy 1.0 wider and deeper. Even though margins have increased by over a 300 basis points in the last three years, there is plenty of runway for additional margin expansion and from already launched initiatives such as route optimization and reduced labor cost. Our 1.5 strategy of acquisitions will remain an important part of our future growth plans. We'll continue the discipline approach that we've shown such far targeting deals that are accretive with post-integration multiples in the six to seven range. Slide 14. Slide 14 combines our organic improvement within our accretive acquisitions. Over the last three years, our total margin rate has increased markedly from 7.4% in our 2016 jumping our point to an expected 10.7% at the end of 2019 supporting our 22% compound annual organic profit growth rate that we talked about it in the last slide. Despite significant FX headwinds throughout the plan period, we expect to easily exceed the initial operating targets that we laid out of only $325 million that we set back in 2017. We're highly confident that we'll continue to drive revenue growth and margin improvement in our organic and acquired businesses during the next three year strategic plan period. For example, we've already stated that the U.S. business should continue in this margin improvement drive to 13% in 2021. This equates to nearly a 500 basis points of additional margin improvement over the next two years, this will be led by Dunbar cost synergies that are expected to add another $20 million in op income alone after this year after 2019 and by continuing core organic growth in the core business and operational improvements associated with that. Slide 15. We're currently developing investing in our next layer of strategy as we've spoken before Strategy 2.0 which will focus on expanding our presence in the total cash ecosystem by offering additional high value services beyond our core offerings today. These services are designed to offer customers a complete solution to their cash handling needs similar to the full service offerings that retailers receive from credit card payments today. These include complete handling and processing of cash, reduced labor needed to manage the cash and optimization of working capital; all of this in a hassle-free offering to customers. Our 2.0 offerings will target expanding our services and revenues with existing underserved customers, increasing our market share in existing cash management market that we serve today and increasing services and revenue to currently un-vending customers in retail markets today. In the second quarter we announced an acquisition that will support a portion of our 2.0 strategy with large enterprise customers called balance innovations. In addition, a large French bank agreed to outsource all of their 11,600 ATMs to Brink's as part of our 2.0 strategy. And we're on track this year with our investments to develop additional core 2.0 services with targeted rollout of pilots in services next year. By combining continued revenue and profit growth from 1.0 and 1.5, what we believe will be accelerated growth from 2.0, we're confident that our next three-year plan period will even be more successful. We look forward to providing a comprehensive strategic review at our Investor Day in New York City in the first half of 2020 on a date that we'll announce soon. Slide 16. As Ron laid out, the reduction in our full-year 2019 guidance is due solely to the impact of currency. Our operational targets remain unchanged. Despite $80 million of expected operating profit reduction from negative currency translation including a $58 million of impact that we've seen in the first nine months, we still expect reported operating profit growth of 14% and a 16% growth in earnings per share. Slide 17. In summary, over the last three years, and of our strategic plan period and despite the strong FX headwinds, we have significantly exceeded all of our original targets which are shown on the right side of this slide and growing our operating profit by more than 20% on a compound annual growth rate. We believe it's just the beginning and we look forward to creating more value for all of our shareholders over the next three years. With that, Drew, let's then open up for questions.
Operator: [Operator Instructions] The first question comes from Tobey Sommer of SunTrust. Please go ahead.
Tobey Sommer: Thank you. I thought I'd pick off with M&A. now, you have to elaborate a little bit, it's been a couple of quarters now and you described that a wider array of opportunities as well as larger opportunities. Any color you could provide us there and maybe stratify them versus the traditional cash and transit versus expanding into the cash ecosystem? Thank you.
Douglas Pertz: Well, I'll start and then I'll pass it to Ron as well. As I mentioned, as we announced actually in the second quarter release and as I just mention again, we did do a small acquisition called balance innovations in the second quarter that we think is a good support for one of our core strategies as part of our 2.0 overall strategy. And that will help us provide software a complete analytics and systems that we think will provide better services to enterprise based customers in particular and I'm talking about enterprise sized retailers. So, that’s an example of an acquisition one of the ones that we've done to-date that does help us for our next generation and next strategies. So, that's an example of that. TVS was an example of a core-to-core helping improve our core business in Columbia which we're very pleased to have done and similar to other acquisitions, we've done a three or four other key major markets, Argentina, Brazil, the U.S., etcetera. Most of what we've done to-date has been core-to-core, we still have a number of core-to-core and core adjacent that we're looking at that are in our backlog and there are various sizes, I don’t think we're going to comment necessarily on what sizes we have done or what we have on -- and we know as we've done but what's on the books. So, I think we'll continue to look at acquisitions that fit our core-to-core adjacent that support our platform growth as well as well as then support some of our strategies going forward.
Ronald Domanico: The only thing I would add, Tobey, is that a lot of these companies are family-owned. That process it takes time and every family has different dynamics. And then a lot of these acquisitions are in countries that have long regulatory approval processes. Brazil, as we know with Rodoban was more than a year, Columbia took us about a year. So, even though the pipeline is robust, the timing on these deals is very lumpy and will continue to move forward.
Tobey Sommer: Thank you. And then, in terms of pricing, could you comment generally on what the pricing environment looks like for your services and you can do it in an aggregate basis or that our geographies that's easier for you.
Ronald Domanico: Perhaps you noticed the third quarter margin in the U.S. both in 2018 and 2019, was lower than it had been in the other quarters. That's typically because the price increase cycle on the U.S. is in the fourth quarter and up until then we bear the cost of wage increases and other inflation in the U.S. So, we do see margin pick up and in pricing in the U.S. in the fourth quarter based on the continued type labor environment we expect to have an another round of successful price increases in 2019 similar to what we had last year. And other countries also have a lot of price increases skewed towards the back half of the year. Brazil, Argentina as negotiated we talked about previously. So, we do see the pricing environment this year similar to last year. And also, in France, I mean we have an opportunity for price increases as well. That market has been consolidated but also the market is tightening up which has enabled price increases. But I would say pretty much in line with last year. We do expect to have price increases on the order I say globally for Brink's, plus or minus 3%.
Tobey Sommer: Thanks. And if I could sneak one last one in. if we were to look at your business not from a geographic perspective but from the line of business such as the high value services versus cash in transit etcetera. What would the growth rate look like and if you don’t have specific numbers that are even ballpark color would be helpful. Thanks.
Ronald Domanico: I would say that the retail business that which is a big focus for us has higher growth rates and we'll continue to have higher growth rates because it's primarily un-vended on the financial institution side which a traditional CIT and ATM, that entire market is vended. Every bank has an armored truck service. And so, the growth there is trickier, takes longer, we're having more success in the lower tier smaller banks than we are and the larger ones. But the focus for real growth volume and pricing is going to be on the retail side and so you're going to see that proportion of the pie that we show on our investor presentations continually move to a greater proportion of retail.
Douglas Pertz: Yes. And maybe just specifically about the high value. High value our BGS business varies, it varies up and down based on what our commodity prices are, what our disruption in word trade, dislocation with governments, things like that. So, it varies up and down more in line with that and necessarily GDP and other thing which can be good/bad obviously. The other business varies so much growth by country in what's going on specifically by country.
Tobey Sommer: Thank you, very much.
Douglas Pertz: Thanks, Tobey.
Operator: The next question comes from Jamie Clement of Buckingham. Please go ahead.
Douglas Pertz: Good morning, Jamie.
Jamie Clement: Great, good morning guys. Ron, if I can actually start with you, just a quick one. You’re the midpoint of your EBITDA guidance is down a $30 million versus $20 million in op. why is there a difference there?
Ronald Domanico: Yes. Jamie, getting into the weeds a bit. Depreciation is lower by approximately $5 million due to timing of CapEx.
Jamie Clement: Okay.
Ronald Domanico: We've had slower replacement of armored trucks because of a desire to have more of a global coordination between chassis vendors and the design. So, that's taken a little bit slower. Also, we have permitting delays for real-estate especially overseas. These are not uncommon but we expect to get through the permitting process quicker for some of that CapEx. $3 million of the difference is to lower non cash shared based compensation. The estimates for the share-based comp are done at the beginning of the year before the actual is actually figured out the value of the equity grants and then before the board actually grants the number of units. And so, $3 million is from that and $2 million is actually from foreign exchange which has been a pattern of discussion in this call.
Jamie Clement: Okay, all right. And then, on the kind of the one-time it seems expenses in the U.S. which I think you sized it about $5 million during the quarter. Why that non-GAAP that out?
Ronald Domanico: Well yes, okay, you and Doug will.
Jamie Clement: That put seven checks?
Ronald Domanico: Yes, we know. But to say that we're not going to have another lawsuit in California that gets settled is wishful thinking. It was from 2015 lawsuit that was just dragging on. So yes, it was something that happened a long time ago but was settled in this quarter. We made an argument that yes that lawsuit won't recur but we don’t have a good argument that California won't pursue additional labor litigations.
Douglas Pertz: So, let me jump in there. Obviously I feel a little bit like you do as well but I'm not in count. So, that lawsuit was about a $3.5 million total settlement that was actually I think is good to get settled. It wasn’t nice to have it in the quarter, wasn’t nice to have to pay it but it was one of those that was hanging out there that every other company has had out there. And so it's called the resting meals lawsuit in California and so was good to get settled and them taken off the plate, meals plate, yes. And then, there was another component of it that was restructuring expenses that were not of we weren’t able to non-GAAP based on the accounting roles associated with that. But we feel that over the course of finalizing the restructuring Dunbar those should not continue on down the road and that's why we wanted to point those out. So, we appreciate that.
Jamie Clement: Yes.
Douglas Pertz: And our shipment, and I said in here I think it's important that from quarter-to-quarter we see the difference between our segment op income reporting and then the corporate expenses down to our reported op income. The difference between that is our corporate expenses from quarter-to-quarter and they vary based on what goes in the quarter, these I'm not sure these expenses like these that we did we pointed out and others around that such as stock based comp and so forth from quarter-to-quarter and that variation then pushes up or down by quarter. So, we really have to take a look at this I think fortunate and fortunately on a full-year basis. And therefore looking at the numbers that we have now taken to consideration, the additional $20 million hit to our FX is still puts us with this for a full-year puts us with the 14% op income growth for the year and a 16% for EPS, taking that consideration on all the quarter variations for the year. I think that's a better way to look at it.
Jamie Clement: Okay, that's very fair. But you still think you're going to be at or close to 10% in the fourth quarter, right?
Douglas Pertz: 10% what?
Jamie Clement: What's that?
Douglas Pertz: 10% what?
Jamie Clement: 10% operating margin.
Douglas Pertz: No, I think we're going to be higher than that in the fourth quarter.
Jamie Clement: Okay.
Douglas Pertz: Now, you're talking about 10% operating margins in the U.S.?
Jamie Clement: Correct.
Douglas Pertz: Yes. Overall, we're going to be higher than that. In the U.S. we're going to be higher than the 10% as well.
Jamie Clement: Okay.
Douglas Pertz: But yes. And remember it, that's hit our number that the legal and obviously these non-GAAP able or the ones that are in the non-GAAP numbers for the restructuring, are in the third quarter, they'll be in for the full-year. And that will impact our full-year margins for the full-year for the U.S. That doesn't mean next year we'll necessarily see those but we'll see.
Jamie Clement: Okay. And then, Doug, just on organic revenue growth in North America, around I think was 4% in the slides. Are you happy with that number, do you think you can kind of get back to a range that's better than that?
Douglas Pertz: Damn right we can, I'm not happy with it.
Jamie Clement: Okay. Do you, I mean, you think we will see a better number in the fourth quarter, was there anything unusual going on in the third?
Douglas Pertz: No, I think it's consistent with what we've seen over the last year-to-date, since we acquired Dunbar. And we'll see and there are some things that have happened already like we announced in the second quarter that should help continue to improve those things going forward. So, it's a combination of the Dunbar equation, some of the things that we have going that over the weather be the fourth quarter or next year we expect and we will see higher numbers.
Jamie Clement: Okay, great. Thank you very much for your time.
Douglas Pertz: Thanks, Jamie.
Operator: The next question comes from Jeffrey Kessler of Imperial Capital. Please go ahead.
Jeffrey Kessler: Thank you. First question. With the continued evaluation of the Argentina. So, two question around that. 1) At what point does Argentina becomes with 8% of your revenues a year ago. At what point does it become small enough so that the evaluation of the result does not have this outside effect on your reported numbers?
Douglas Pertz: Fortunately, the price increases that we mentioned year-to-date 37% are offsetting that evaluation. And right now we don’t see Argentina diminishing from where it is today as a percent of the portfolio.
Ronald Domanico: But to that point, Jeffrey, I think over the course of the last several years, you are correct in that Argentina has become a significantly smaller percentages than it was. But you we're balancing two things and I think your approach is probably leads me accurate. In that it has become and it will continue to be probably a smaller portion of our overall portfolio which is good because that means what we've done through both 1.0 initiatives of improving our margins and growing the business and then doing acquisitions, it has continued to do that. And we'll continue to drive. As I stated in my comments, over the next two years we expect the U.S. to gain an another 50 basis points in margin, excuse me, 500. Let me say that again 500 basis points in margin over the next two years. Obviously that margin improvement which is partially driven by the additional carry over synergies into the next strap plan period of time, that will continue to make the Argentinian portion of the contribution of the overall -- continue to get smaller. That's good, it doesn't mean that Argentina is going down but local performance in the country in Argentina is very good. The contributions are very nice. So, we don’t want to diminish that but unfortunately as you see here, the impact of that plus a few other currencies make a difference in the quarter. So, we still even with all that reported 7+%, if it as I said before if we were to adjust it just to have it similar to what we initially laid out in our prior guidance we call it now, prior guidance, it would have been 14+%, which is consistent with we're seeing for the full-year guidance with all of the impact of FX in there. So, eventually it will get to a point where it becomes a smaller component than it is today, it is much smaller shape than it was because of its growing but it's still a very great good business. We expect it to continue to be. And we are well down the path of offsetting with inflation driven pricing, offsetting what we would consider to be the FX shocks from August of last year and August of this year. Well, down the path and we'll talk more about that on Investor Day and in the fourth quarter earnings release that's coming up.
Jeffrey Kessler: And clearly, before getting to our real question, I just want just want one more question on our --.
Ronald Domanico: Is this the real question?
Jeffrey Kessler: Yes. is there's an election coming up in Argentina, do you have any feeling as to who wins as if that have will that have any impact on fiscal -- on the policy in that country?
Douglas Pertz: The election Sunday we're all watching the polls, which everybody knows are extremely accurate not only in Argentina but in the U.S. have the Socialist winning. They won the primary, so the question then is, is the impact already baked in to both of the devaluation and the other economic. Yes, the shock we got in last in the end of August was a result of the primaries which was which should be baked in to we hope much of it now. So, hopefully it's baked in the question and that you're asking is what happens what do they do after that.
Jeffrey Kessler: Now we know them.
Douglas Pertz: But the TV says is that we've got nice internally driven inflation price, inflation driven price increases that will help offsetting them and that so we anticipate will continue to see.
Jeffrey Kessler: Okay. My other question is on technologies. You move into 2.0, we haven’t talked a lot of that complete table, we haven’t all talked part of that. The internal technology improvements that we’re using to promote services to branch and branch improvement is one of the legs that you’re – I think that your next generation is going to be – that’s on. Can you talk a little bit about where you’re in that process that used to be more viable over the next couple of years and then what is more probable that’s going to take more than two or three years?
Douglas Pertz: I hate to not answer that but I think is going to be much better served if what we do is answer that in a whole comp way in our Investor Day because I think much of that will be answered in much more detail and much more better understanding about – also Strategy that target growth areas that we’re looking about the impact that will, we think will have. The differentiation we think will have, the broader services that will offer, I think that will be much clear and much more concise and the technology that helps drive that in our Investor Day coming up.
Jeffrey Kessler: If I’ve to rephrase the question just quickly, let about, what have the investor that you said making this year and talked about – as part of your corporate expenses what should be showing up over the very, very near term, over the course of the next six and half months?
Douglas Pertz: Very little, frankly other than some additional expenses over the next six months. But, what should be showing up is we go into 2020 as we should start selling product, right. It will ramp up as we go throughout 2020 so we should start seeing revenues, conceptually we should start seeing revenues associated with the development of the products that we see that we’re developing today, so the investments in the OpEx in 2019 should translate into pilots in early 2020, which should translate then into revenue as we go through 2020 and then through a ramp up that’s hopefully much more significant as we go through the rest of the new strategic plan period, 2020 through 2022. And as we do that the intent is to continue to invest both in terms of the technology, the product development as well as marketing and sales expenses through 2020, but to have that offset by over the course of the year, offset by revenue and higher margins associated with that revenue as we go throughout the year in the planned period. So next year the intent overall as a year is to not have the negative impact of the investment of 2.0 in other words greater than $20 million that we will be spending next year on 2.0 investment, up the income investment that is. We will be offset over the course of the year and again, I would stress that because the first quarter won’t be as good as the third and fourth quarters, will be offset by the revenues and higher margins that we get from that. That’s the intent, that’s the strategy that’s what we’re laying out, that’s the path that we’re on and as I try to point out, you’re getting glimpses of the pieces of this and the various components. We’re developing that core strategy of 2.0 that we hope to rollout with pilots and therefore – and then product and revenue achievement in the early part of the next year. We did the acquisition of the company called Balance Innovation that gives us software and linkage with 11,000 retail locations and linkage with enterprise retail customers that is another portion of that core strategy. And then, obviously the award that we received in France of the outsourcing of a major Tier 1 bank in France of all of their managed services for their ATM what they call the ATM estate there is a major, major accomplishment in providing us a foothold of yet another key portion of the core strategy for 2.0. So, the pieces are kind of being shown there and the other core piece that you’re asking about of the integration of our technology that we think will be unique will be really in these pilots and products that we start rolling out in the early part of 2020.
Jeffrey Kessler: And that will be discussed on Investor Day?
Douglas Pertz: All of that will be discussed and hopefully will come together, we now start with the numbers like 2.1, 2.2 and 2.3, which is integral parsons of our strategy and how we’re looking and how we’re developing it.
Jeffrey Kessler: Thank you very much.
Operator: [Operator Instructions] The next question comes from Sam England of Berenberg, please go ahead.
Sam England: Hi guys, just a couple from me. On the SAS 1, could you talk a little bit about how the discussions you have been having with other banks on ATM outsourcing and progressing, I know at the time you announced the French deal where you said there was another banks that you were talking to, just wondered how that was progressing?
Douglas Pertz: Well, it’s progressing faster than we want and the reason is they’re coming to us because what the public announcement of the deal of BPCE every other bank in France knew about it and actually knew about it before the announcement and wants to be next. We need to make sure we have the capabilities fine tuned up and running and then we believe we will also have felicitation from banks in other countries. We think this is a game changer, we believe the banks must continue to provide cash ATMs for their customers that’s what they’re all looking for a way to do it more effectively and more efficiently and we have a solution that is stated with a long lead time and barriers to entry. So, it’s going faster than we can deal with all of the inbound requests we’ve, but we want to make sure we get it right before we expand the offering to other clients. I might put a little bit of tempering on that I think that’s it’s absolutely the case because this was a unique wind I think in that. It’s hard for a major bank that’s your Tier 1 bank to outsource their ATM. It’s risky if something different, something new, so this was pretty significant for this to happen. And so, it is going to take some time, it took a lot of time for that to happen this is the first major one that I really know of in the industry. So it’s going to take some time for the other banks to continue to move. The response has been because it’s now known out there as Ron is suggesting has been significant interest and inquiries around that. In fact, the spin off to that as well is in France I think is what Ron is also alluding is that many municipalities who are looking to continue to more world than in Paris or in the cities are looking to assure that they have access to cash in those areas and therefore their one ATMs are now looking to work with us to put ATMs in those cities. So that’s one of the spin off as well. But I don’t look for this to be something that all of a sudden we’re going to see five or six more major banks doing this. This is I think a major win, it’s going to take some time as we’ve told you before, this doesn’t start up until the end of 2021 but it is a 10 plus year deal. And these are longer term deals to make this both gain them as well as gain the deals that is as well as the duration to implementation.
Sam England: Great, thanks. And then, the next one was around Argentina, I just wondered if there is anything you’re doing or that you can do to position the business for a further de-writing in the peso or potential capital controls after the election on Sunday or is it really – just see what happens after the election?
Douglas Pertz: We can hedge about a 25% plus.
Ronald Domanico: No, no. The latest quotes that I’ve got for hedging to Peso over [20:90] and a 100%.
Douglas Pertz: I think what we can do is, Sam, as we can remember that we operated damn good business down there. It continues to be extremely good, volumes continue to increase as a result of inflation that is created there which is positive for us as well. And the difference that we’re talking about here is when we get the cash. And I think that’s really the issue. We’re to importing oil, we’re not importing steel, we’re not seeing any impact to our margins in fact, its frank that we’re going up. None of that is negative like other things that are happening with trade wars and so forth. This is a good business in Argentina that we think is a great part of our business, the difference that we’re seeing is this $20 million, the bulk of this $20 million is going to be delayed in the timeframe so that we get them. Our debt is going to be going up this year, we amount that we would have paid it down if we would have received it. So it’s translational, it’s not loss, it’s the matter of timeframe is the way that we look at it. I think that’s an important piece that the investor should look at this, that’s much different than what they’re worried about operational FX issues and this is not that.
Sam England: Right, thanks guys, I will leave it there.
Douglas Pertz: Thanks Sam.
Operator: The next question comes from [Indiscernible], please go ahead.
Unidentified Analyst: Hi good morning. sorry, I missed it. I’m sorry that I missed it. The Investor Day, have you specified a day on that?
Douglas Pertz: No, we’ve not. Thanks for asking.
Unidentified Analyst: We’re all very curious, will it be in the first quarter, any sense of the general timing?
Douglas Pertz: Well general time, we’re thinking about late first quarter.
Ronald Domanico: Our last Investor Day was in early March of 2017.
Douglas Pertz: And what we’ve done is, we’ve done a great job of getting everybody so excited about it that we need to probably do something. We will do that.
Unidentified Analyst: The turnout couple of years ago was great, so hopefully that this turnout will be even better. So that was a very productive day, it was a great, guys did a great job at that day, it was well worth while, so thank you.
Ronald Domanico: Thanks for that too.
Douglas Pertz: We appreciate it, yes. This is going to be even better. That’s translated into 22+% campaign annual grow rate and over the two year period, and even within our facts it was a huge negative impact on us. So just think where we’re going to get this next time.
Unidentified Analyst: Perfect, thanks guys, thank you.
Douglas Pertz: Thank you.
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. And that will also conclude our conference call for today. We thank you for attending the Brink’s Company’s third quarter 2019 conference call and at this time you may disconnect your lines.